Operator: Good day, everyone, and welcome to this Manitowoc Company Inc. Second Quarter 2014 Earnings Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. Khail. Please go ahead, sir.
Steven C. Khail: Good morning, everyone, and thank you for joining Manitowoc's second quarter earnings conference call. Participating in today's call will be Glen Tellock, our Chairman and Chief Executive Officer; Carl Laurino, Senior Vice President and Chief Financial Officer; and Bob Hund, President of Manitowoc Foodservice. Glen will open today's call by providing some introductory remarks about our quarterly results and business outlook. Following that, Bob will comment on our Foodservice segment results for the second quarter, as well as sharing his longer-term goals and strategies. Then Carl will discuss our financial results for the second quarter from an enterprise and segment perspective. Following these prepared remarks, we will be joined by Eric Etchart, President of Manitowoc Cranes, for our question-and-answer session. For anyone who is not able to listen to today's entire call, an archived version of this call will be available later this morning. Please visit the Investor Relations section of our corporate website at www.manitowoc.com to access the replay. Before Glen begins his commentary, I would like to review our Safe Harbor statement. This call is taking place on July 31, 2014. During the course of today's call, forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995, will be made during each speaker's remarks and during our question-and-answer session. Such statements are based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied projections due to one or more of the factors explained in Manitowoc's filings with the Securities and Exchange Commission, which are also available on our website. The Manitowoc Company does not undertake any obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or other circumstances. With that, I'll now turn the call over to Glen.
Glen E. Tellock: Thanks, Steve, and good morning, everyone. Our second quarter results fell short of our expectations in both segments. Our disappointing performance was driven by softer Crane revenue as a result of the uncertainty spanning our end markets and a limited margin expansion in Foodservice. That said, we continue to manage the business in challenging times by focusing on those areas within our control, which will undoubtedly position us well as our end markets improve. Within the segments, Foodservice generated sales growth for the third consecutive quarter, with sales up 4% year-over-year. This increase was driven by growth in the Americas and EME that included the successful rollout of blended beverage equipment in EME and hot holding, ice and beverage equipment in America -- North America. In addition, KitchenCare, our aftermarket services and support solutions for Foodservice, continue to positively contribute to the segment's performance during the quarter. While our operating margins did not expand as we had anticipated, it is important to note that we've made significant strides in realigning the business in such a way that will deliver superior performance over the long term. Bob will discuss our Foodservice segment in more detail momentarily. Moving on to our Crane segment. Our second quarter sales declined 6% year-over-year, and, consistent with last quarter, global demand pressures and widespread customer caution continue to weigh on our results. In the second quarter, orders were impacted by sluggish market conditions in the North American rough-terrain and boom truck product categories. Softness in Brazil and the Latin America markets, coupled with yen weakness and ongoing delays in Russia, also contributed to the decline. And lastly, while the European economy is improving modestly, end market demand for cranes still remains choppy in this region. That said, we will continue to see positive dynamics from recent quarters in the Middle East, where performance and growth in tower cranes indicate that activity in that region is strong. While our sales in North America were softer than we anticipated, we are experiencing solid traction with our crawler crane product line in this region. In addition, utilization rates have also seen further growth, with some product categories at full utilizations, while rental rates are experiencing only modest improvement. Although we're disappointed by our order intake in the second quarter, there continues to be strong levels of inquiries. We are encouraged by the prospects and pipeline of projects for our Crane segment. Additionally, our North American dealer inventory for rough-terrain cranes is trending in the right direction. After peaking this past February, rough-terrain inventory during the quarter decreased to its lowest level since October of 2012 and continues to trend lower. Additionally, the ABI, a leading indicator of construction activity, is at its highest level in the past 12 months. As a result, we expect overall growth to resume in the coming quarters, with stronger demand in North America, where we believe customers will begin to increase their level of activity after delaying projects for varying reasons. Overall, our market-leading product portfolio and diverse geographic footprint give us confidence in both our strategy and long-term opportunities to drive market share. Moving on, let me now provide a quick update on our implementation of several strategic priorities that should drive long-term value for the enterprise. First, the ongoing implementation of operational excellence and quality initiatives remain key priorities. These initiatives include sourcing, LEAN, reliability and organization efficiency gains. Examples include construction of our multi-purpose Foodservice plant in Monterrey; development of a shared-services platform in France to streamline our tower crane operations; expansion of our product verification center processes worldwide; organizational realignment from a regional-to-product approach; and lastly, hiring of a Senior Vice President of Global Sourcing Excellence to accelerate our global sourcing initiatives. Going forward, these investments will continue as they not only improve the cost structure of the business but also accelerate our product development processes. During the first half of the year, we have already realized more than half of our full year $80 million gross savings targeted for 2014, further underscoring the success of our efforts to identify and execute on discrete areas where we see opportunities for savings. Second, we continue to further differentiate our aftermarket support business through increased revenue and customer loyalty. Our KitchenCare and Crane Care support programs provide customers with total life cycle support for all Manitowoc products. Third, we continue to emphasize our innovation imperatives across the enterprise. For example, in Foodservice, we showcased some of our new and innovative products in both our hot and cold categories at the recent National Restaurant Association trade show, including our Blend-In-Cup beverage units, Convotherm 4 Combi Oven technology and the U.S. launch of KitchenCare. In Cranes, our new products and technology enhancement continue to be well received as reflected by the continuing strong demand for our new VPC crawler crane technology introduced at ConExpo. Testing for this product is going well, and we anticipate initial shipments to begin the second quarter of next year. In addition, this patented technology was recently validated by a preliminary ruling in the U.S. International Trade Commission proceedings. To conclude, while the first half of the year tracks lower than we had anticipated, our market position remains strong, and we are committed to leveraging our core competencies and strengths to drive performance, including new product introductions and investing in the business to drive enterprise-wide growth. Our ability to readily and efficiently adapt to dynamic market conditions will play an important role in our performance for the remainder of 2014 and beyond. With that, I'll turn the call to Bob for a discussion on our Foodservice segment. Bob?
Robert M. Hund: Thank you, Glen, and good morning, everyone. Foodservice experienced another period of growth during the second quarter, which also outpaced overall industry growth projections. This was driven by increased activity in select product categories, along with certain end markets. As Glen noted, this included a successful rollout of blended beverage equipment in Europe, as well as momentum with our KitchenCare aftermarket services offering. Geographically, we saw good growth in the Americas and the EME regions. And with solid order activity, especially on the hot side of our business, we are encouraged by the opportunities ahead of us. Looking at our product categories. The cold side business in Americas performed well, as we had strong Indigo ice machine orders during the quarter. In addition, our Koolaire ice machines showed positive momentum towards the end of the quarter. On the hot side, we continue to experience early customer adoption of our new Convotherm 4 oven, with the formal rollout of this innovative product line slated for September. And while the performance of our Americas ovens consolidation lagged during the quarter, we are confident in the Cleveland facility's long-term contributions once this consolidation is complete and we begin to realize operational benefits from this important initiative. During the National Restaurant Association trade show in Chicago, we experienced strong booth traffic, and our interaction with customers centered on innovation in the new standards of technology that our products are creating across the Foodservice industry. This was best exemplified by the Kitchen Innovation Awards that we received for Garland's Induction FlexiHob Technology and the Multiplex Manual Fill Blend-In-Cup System. Manitowoc Foodservice also received a Sustainable Supply Award from McDonald's in recognition of our ability to identify opportunities and apply sustainable solutions globally. Looking forward, our customer-centered strategies, coupled with the realignment of the organization, should provide solutions-based synergies while leveraging economies of scale. As a result, we are able to combine leading products and services with unique solutions that improve customer profitability. More specifically, we are diligently focused on the following initiatives, which are all consistent with our strategic priorities: first, through our customer-focused approach, we are implementing regional growth strategies across key markets, expanding our KitchenCare offering and continuing our sought-after, high-performance kitchen innovation workshops directly inside customers' kitchens or in one of our demo kitchens located throughout the world. For example, in just the last few weeks, we've conducted workshops at a growing fast-casual chain in India, another fast-casual chain in Canada, a U.S. convenience store chain interested in growing their food service offering, as well as growing an international pizza chain and casual-dining breakfast chain. Our ability to provide meaningful solutions for our customers' challenges and opportunities creates incremental value that not only differentiates us from our competitors, but also allows us to grow alongside our customers. Second, we are realizing LEAN improvements and product cost takeouts. This is being done in conjunction with our manufacturing and business consolidation strategies, as well as continuous improvements initiatives in other locations. Third, we are pursuing improvements in our market coverage processes. With guidance from our loyal channel partners organized into councils [ph], we're implementing an automated and aligned order fulfillment process while ensuring broad account coverage and deep channel penetration in a variety of Foodservice end markets. Fourth, we are committed to product and service excellence through our alignment of product strategies with market segment goals. This is exemplified by our recent work with an ingredient supplier so that individual restaurants, beach bars, hotels or small chains can have wholesale access to pre-bagged ingredients to take full advantage of our highly productive blended ice machines with the complete selection of beverages. Another example is the substantial power savings and reduced water consumption in our new Convotherm 4 oven and our KitchenConnect equipment monitoring solution, both of which are welcomed by chains focused on protecting the environment and achieving cost reductions. Lastly, our industry-leading reliability and product quality continues to resonate well with our customer base, as highlighted by the extensive testing of our new Koolaire line of mid-tier ice machines, which have had an essentially problem-free introduction. Looking forward, we remain on track with our strategies in the Foodservice business. The investments that we have made and will continue to make are critical to driving our growth while further capitalizing on our product development and world-class innovation. When combined with our diverse product offerings across the globe, as well as our ability to leverage existing customer relationships, we are strongly positioned to capture the opportunities to accelerate long-term growth in this segment. I will now turn the call over to Carl to discuss our detailed second quarter financial results. Carl?
Carl J. Laurino: Thanks, Bob, and good morning, everyone. We reported net sales for the second quarter of $1 billion, which is a decrease of 2% from a year ago. This top line performance resulted from a 4% increase in Foodservice revenue and a 6% decrease in Cranes. GAAP net earnings for the second quarter were $46.6 million or $0.34 per diluted share versus earnings of $57.6 million or $0.43 per diluted share in the second quarter of 2013. Contributing to the year-over-year decline in net earnings is the provision for income taxes of $19.2 million that is more than double the $9.3 million tax expense incurred in the second quarter of 2013, which significantly benefited from certain discrete items. Excluding special items, second quarter 2014 adjusted earnings from continuing operations was $47.8 million, $0.35 per diluted share, versus adjusted earnings of $63 million, $0.47 per diluted share last year. During the second quarter, cash provided by continuing operations was $73 million versus $48 million in the prior year quarter, driven by cash from profitability and partially offset by seasonal working capital requirements in both segments. For the remainder of 2014, we expect continued cash flow generation, which we will allocate to fund various growth and process improvement initiatives, as well as debt repayment. We expect the pace of our debt reduction to be similar to the seasonal pattern in prior years, meaning that the bulk of our debt reduction will occur in the fourth quarter. And as previously communicated, we expect to reach total leverage of less than 3x debt-to-EBITDA by the end of the year. In terms of capital allocation, we remain dedicated to maintaining a strong balance sheet, while making prudent capital investments. As we continue to pay down debt, our lower leverage will enable us to evaluate our capital deployment that generates the highest risk-adjusted returns. These include strategic acquisitions to grow our industry-leading positions, share repurchases and/or dividend strategies. Turning to our segment results. Foodservice sales in the second quarter of 2014 totaled $407 million, up 4% from a year ago. Second quarter 2014 operating earnings in Foodservice were $65.9 million. Operating margins of 16.2% were flat compared to the prior year quarter. Second quarter Foodservice margin performance resulted from operating efficiencies, driven by key manufacturing strategies that were largely offset by poor absorption in certain factories and unfavorable product mix. Moving to the Crane segment. Second quarter sales totaled $606 million, a year-over-year decrease of 6%. Same-segment operating earnings in the second quarter were $54.4 million versus $70 million last year. This resulted in a second quarter Crane segment operating margin of 9%, down 180 basis points. This year-over-year decline was a function of lower sales volume that was only partially offset by ongoing operational efficiencies. Contributing to the margin decline were year-over-year increases in engineering, trade show and legal expenses. Crane backlog at quarter end was $728 million, essentially equal to the prior year quarter. For the second quarter, new orders totaled $491 million, which represent a book-to-bill ratio of 0.8x. While new orders during the quarter decreased 19% year-over-year for the first 6 months of 2014, Crane orders increased 4% compared to the same period in 2013. Before concluding my remarks, let me now discuss our 2014 outlook. As noted in yesterday's press release, we are updating our guidance for 2014 for Crane segment revenues and Foodservice operating margins, as well as our full year effective tax rate. For the full year, the company now anticipates Crane segment revenues to be flat to slightly down as compared to revenues for the prior year period. This revised outlook is due primarily to weakness in select markets such as greater Asia-Pacific region, Russia and South America, as well as continuing softness in the rough-terrain product category. In addition, Manitowoc now expects Foodservice operating margins for the full year 2014 to be in the mid-teens or roughly flat to 2013, while the effective tax rate is expected to be in the mid-teens percentage range. The company is reaffirming the remainder of its full year outlook, including Crane segment operating margins and Foodservice revenue. Inherent in our guidance is the expectation for improved demand in Cranes, as well as progress with our new product and KitchenCare Foodservice offerings. For the full year, we continue to expect mid-single-digit revenue gains in Foodservice and high single-digit operating margins in Cranes. Capital expenditures and interest expense in 2014 will approximate $90 million and less than $100 million, respectively. We also anticipate total leverage will decline to below 3x debt-to-EBITDA, well below half the peak level experienced in 2010. With that, I'll return the call to Glen for his closing comments.
Glen E. Tellock: Thanks, Carl. To conclude, we continue to be faced with a challenging and uncertain global economy. While we can't control the broader markets, we will continue to make important investments where we see the largest opportunities for growth and focus on the aspects of the business that will drive incremental profitability improvements. Collectively, these efforts give us confidence that we can achieve our full year profitability objectives. The strength of our product offerings, as well as our commitment to innovation, product quality and reliability, as well as our sourcing and growth initiatives, will enable us to drive long-term profitable growth as the markets improve. This concludes our prepared remarks for today. Shannon, we will now begin our question-and-answer session.
Operator: [Operator Instructions] And we will take our first question from Andrew Kaplowitz with Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: Bob or Carl, can you give us more color into the Foodservice margin performance? You said you achieved about half of your $80 million in cost-cutting for the company, but now we're talking about a decline in margin year-over-year in the back half of the year. So maybe give us a little more color on what's going wrong. Maybe can you talk about the negative mix and the lag of the Americas ovens consolidation. If you can quantify any of these pieces for us, that will be helpful.
Glen E. Tellock: Yes, Andy, this is Glen. Good morning. In simple terms, with respect to that, I want to touch on the $80 million. We haven't broken it down, but it includes 2 things. It's the organizational savings from both Cranes and Foodservice, which are both on track, and it includes the sourcing initiatives from both Cranes and Foodservice. And I would say in Foodservice and Cranes, those are both -- both sides of that are on track, and that's why it's coming from both sides. Where the Foodservice margins in -- declined not to our expectation is, first of all, there was the mix issue, which you already talked about and Bob can talk a little bit about that. I would say the other one, as we mentioned, what's going on in the ovens consolidation. We expected some things to be done there earlier this year because, remember, we talked about it late last year. And so we had forecasted a decent quarter of opportunity there, and it hasn't come to fruition to the point where a good portion of the management at that facility is no longer there. We brought in a consultant that we've worked with in the past, and he has worked for us in the past. And at the same time, we have a new general manager there. So as one of our people says a lot, we have the boots on the ground there. And I would say within 90 days, we would be back to where we anticipated us to be. Unfortunately, we've lost, I would say, anywhere from 4 to 6 months of that expectation, and it won't be made up by the end of the year, thus the reduction of the Foodservice forecast in margins. Bob, I don't know if you want to add on the mix...
Robert M. Hund: Yes, I could, just a little bit on the mix. I mean, it's just within some product categories. For instance, we sold some more lower-end fryers than higher-end fryers due to the customer base that's ordering. On the beverage side, we sold more of the carbonated soft drink product than we did the blended ice products. On the walk-ins, a few larger deals in lower-margin categories were fulfilled in the second quarter than some of the traditional stuff, those types of things. On ice, the ramp-up of Koolaire, which is ramping up now pretty well. Those 4 product categories in particular kind of changed the mix a bit.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay. That's helpful, guys. And maybe this question is for Eric. If you can step back and talk about the Crane cycle in general. We always seem to have a summer swoon in orders. It's not that surprising. But how does the environment this summer compare to past summer swoons? Did North America actually get worse in the quarter? I know you mentioned inventories got a little better, but did North America actually get worse in the quarter than last quarter? And -- or was this more pull-forward from ConExpo this year and maybe a little bit of an overhang from that in 2Q?
Eric P. Etchart: Good morning, Andy. No, I really think that the lag is really coming from North America. It was very disappointing for us. I mean, as you know, we track the market in, and this market was down about above 30%, which was very significant for the rough-terrains, and a little less for the boom trucks. But I think this is where we were caught by surprise. And we have, of course, some good signs now, and the inventory of [indiscernible] very good sign because we were fairly unhealthy after a very strong fourth quarter. So the -- after the tough Q1 and due to the winter, then the second quarter was definitely slower than we anticipated. Now in terms of the order that we received, and that was really again driven by the inventory, now if we look at the order activity of our distributors in North America and the amount of projects and tracking their view the business, we are fairly confident that we should see a much stronger second part of the year.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay. And towers and crawlers, were they down in the quarter, too, or just rough-terrains?
Eric P. Etchart: No, it's primarily rough-terrains and towers because the crawlers continue to be -- sorry. Sorry, sorry. It's primarily rough-terrains and boom trucks. Crawlers continue to show a lot of strength. And towers, of course, in America, is improving. But where we see really upside in the tower cranes is a very strong Middle East activity. And the Middle East activity is on 4 legs. It's not anymore in Saudi Arabia as it used to be before. We have seen a very strong demand now in countries like U.A.E., Qatar, Oman, and so we have a much more broader view of what's happening in the Middle East.
Operator: And next, we move to Charles Brady with BMO Capital Markets.
Unknown Analyst: This is Patrick Wu [ph] standing in for Charlie. Just a quick question on the Crane orders. Obviously, with the decline, how much of the orders in the second quarter are expected to be recognized in the next 12 months? And how much of that will be -- is expected to be recognized beyond the next 12 months?
Robert M. Hund: There weren't any -- beyond what was taken at ConExpo last year that we did report, there were some orders that did extend beyond 12 months. Everything that was added in the order book was within 12 months.
Unknown Analyst: Was there any order slippage that drove the orders number down?
Glen E. Tellock: Patrick, what was your question?
Unknown Analyst: Was there any order slippage that drove the Crane order number down during the quarter?
Glen E. Tellock: Well, I think just -- I think it's the normal market dynamics that are talked about. I think, at the same time, in my comments, I made the reference to the, I would say, more in the North America dealer inventory, when we said it peaked in February, and I think what they're doing is they're selling out of their fleets right now. And so until -- we watch that. It's certainly more normalized now. So I don't think there's anything specifically that made the slippage other than the market being down, as Eric just said, 30%, with the inventories they had. And I think when we talk to our dealer base now, towards the middle and the end of the quarter, and we spent -- have spent a lot of time with them. To Eric's point, there's a lot of activity out there, and we have watched the retail activity of the inventory from the dealers come down substantially.
Unknown Analyst: Okay. Got it. And just one quick on -- one quick one on the Foodservice side. The product rollouts for EME and also in North America, how much did it boost sales for the second quarter? And do you guys think that is realistically sustainable, or the sustainability of these rollouts moving forward in 2H?
Glen E. Tellock: Well, go ahead, Carl.
Carl J. Laurino: I just was going to clarify the question for Bob, just the roll-on, roll-off effect of new rollouts anticipated versus what rolls off going forward in the last -- back half of the year. Is that the question?
Unknown Analyst: Yes, yes.
Robert M. Hund: We've had, I guess, continuous rollouts. I don't think we really have any that were extraordinary outside of what we usually do. That one in EME finished. We may have another one in EME starting up again. Right now, we're in the middle of a hot-holding rollout in North America. So the rollouts continue. What we're looking forward to in the back half of the year is the introduction of the Convotherm 4, a lot of buildup and anticipation for that particular product. And we continue to ramp up on Koolaire and a few other products. That answer your question or not?
Unknown Analyst: Well, I think in the press release you mentioned that there is a rollout -- a new product rollout in the EME region sort of boosted sales for hot holding. I'm trying to, I guess, quantify that amount a little bit. So maybe just add any flavor if you can on...
Glen E. Tellock: Yes, I think, Patrick, from a quantification of it, I mean, we try to stay away from that just because it can be, if it's a product rollout for a specific customer, we -- I mean, I don't want to give that out, other than to say what -- we're trying to give you some color that some of it is, in fact, the rollout and not the normal. But I can assure you that, to Bob's point, when you look at the funnel of opportunities we have on different products in different regions of the world, it's hard -- we have the product, we have the resources ready, but you have to have the other side of the equation, which the customer has to say, "Okay, I'm going to roll this out to my franchisees." And so that's where the challenge comes in. And we can be here and be told it's going to be in the third quarter or the fourth quarter. And it may get pushed out because other people have market dynamics that they're dealing with within their business. So we're just giving you a little bit of color that those things do impact, and that's the -- sometimes the nature of the beast as we have never had in the past until [ph] we acquired [ph] notice because of these major rollouts. So we don't want to specifically star out any number or customer, but we -- if it spans a couple of quarters or if we know one for sure, we can talk about it. But I'd rather not give out what the specific numbers are in any individual rollout.
Robert M. Hund: And we do have some more rollouts that are in the hopper that we feel good about that will occur in the end of the year.
Operator: And we move next to Jamie Cook with Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Sorry. I just need to push a little again on your implied guidance for the back half of the year for cranes because your commentary, obviously, is more cautious with regards to North America. You're talking about, I think, more constructively on the Middle East, whereas most other companies are concerned, given political turmoil with the Middle East, what that means for their business longer term. But I mean, you really haven't taken down the back half of your guide that much. I mean, to get to the low end of your range on sales, you still need like 5% top line growth to get to your numbers. So -- and you need orders in probably the $700 million range each quarter again to get to your numbers, which is up dramatically from the $500 million or so we had a quarter in the first half. So how much visibility do you have? I mean, have you seen July -- have you gotten any orders yet for July? I mean, I'm just trying to understand your confidence level there because I guess I'm concerned we're going to have the same issue that we had in the first -- in the second quarter -- or the first half the year. Like where are you actually seeing the order activity happening? And then my second question, I guess, is were there any market share opportunity -- any market share losses in the second quarter?
Carl J. Laurino: Jamie, this is Carl. So the -- obviously, much of what you're asking about is in -- for Eric to give you some feedback on -- it's driven by what we see in the end markets, the touch points that we have. Now obviously, we don't disclose monthly order activity, but when we look at things like the utilization rates, the project flow, the customer inquiries, those would be all taken into consideration as we try to figure out what the outlook is for the intermediate term. But Eric...
Jamie L. Cook - Crédit Suisse AG, Research Division: But we had those positive in -- we had those positive, I mean, the same sort of positive indicators last quarter. You know what I mean? So again, is there some -- is there more hard evidence that you can give us to suggest that your orders in the back half of the year should be $700 million or so a quarter?
Eric P. Etchart: Well, again, I have confidence that we'll see more order activity in North America, and again, the distributors are very, I would say, upbeat with the projects coming online. To your questions about market share, yes, we've lost a bit market shares in North America. But this is really driven by the fact that probably, at the end of Q4, our inventory level was probably a little bit borderline unhealthy versus the activity and especially because the activity did not obviously increase in Q2 after Q1 to a certain level, so this was really driven by the dealer inventory. Again, the market share, how we track it is, is basically shipment to distributions, not necessarily to the retail. So to your question, there was a big swing in the market share between Q4 and Q1 and Q2, but we will -- but things will normalize to back to our normal market share, I would expect, as we move into the year. Now we -- for the Middle East, we are seeing a lot of activities, and not only on towers, but also on the all-terrain cranes. We suffer from the yen in that part of the world, additionally impacting our rough-terrain crane product lines. I believe also in Asia, we have seen some softness. I don't think that we'll see a major rebound in Australia, but we'll see increased demand in some countries like Korea and Hong Kong and Singapore for the mobile cranes. So overall, I mean, this is where we expect to see more activities in the second quarter.
Glen E. Tellock: And Jamie, I want to point something out. We obviously anticipated these questions, many of the same questions we have internally. And I think when you look at some of the data that we've looked at over the past 3 years, when you look at the first half versus the second half and you go back the last 3 years now, now [ph] that I have the number specifically exact, but the -- in the last 3 years, every second half year has been better than the first half of the year. And so like last year, I want to say, Eric, 19%.
Eric P. Etchart: Yes, it was 19%...
Glen E. Tellock: 19% or 20%. The back half of this year has to be a little bit better than that. So you're exactly right. There's some [ph], but I can tell you that just given the dynamics of the way the markets are working, where people are not ordering ahead, and this is one thing we talked about 24 months ago is, is they're a new norm in the crane markets because people are not comfortable ordering anything long term. What you have to have is you have to -- people, once they get a project, it's really -- price isn't so much the issue anymore. It's the availability, and so it's hard to sell out of that empty cupboard. But I think if you go back and look at the trends in the last few years, we see that and we're a little more comfortable on the back half of the year than we would have been, say, 5 years ago. But I just give you that little bit of color to help you out also.
Jamie L. Cook - Crédit Suisse AG, Research Division: Can I ask you another question, just historically in the third quarter? What's the most important month? I assume it's not August?
Glen E. Tellock: No. Well, it is for some people in Europe, but not for the same reason. September is probably...
Jamie L. Cook - Crédit Suisse AG, Research Division: I'm just trying to get a feel for how you're feeling given we have July behind us.
Glen E. Tellock: Yes. No, no, it's typically September.
Eric P. Etchart: Yes, September. July, there was Ramadan in the Middle East that gets really slow, and August, is Europe being quite slow. So September is the strong month.
Operator: And we'll take our next question from Seth Weber with RBC Capital Markets.
Seth Weber - RBC Capital Markets, LLC, Research Division: So I guess, if I could just get a clarification first before my question. The market share loss, is that in the rough -- that's the rough-terrain market that you're talking -- that you're referencing in North America?
Glen E. Tellock: Yes.
Eric P. Etchart: Yes.
Seth Weber - RBC Capital Markets, LLC, Research Division: Okay. So not to -- sorry, not to beat this to death, but just to go back to Jamie's question. I mean, I'm just trying to understand the messaging. The growth that you're anticipating for the second half of the year in the Crane business, is that based on just macro and sort of historical trends? Or do you really feel like you have a line of sight to those orders? I mean, do you -- was July good enough that it's given you that confidence? Because what I'm trying to understand is it seems like first quarter -- your commentary on the first quarter call was things were pretty good, and it sounds like things -- something deteriorated between May and June. And so now I'm just trying to frame how that's getting better all of the sudden, whether you're actually, yes...
Carl J. Laurino: Seth, it's Carl. Yes, I would say that the single biggest item is what we're talking about in the RT category with the inventories. We expected that to swing through the year at a much faster pace. Obviously, weather was a contributor to that not happening in the first quarter, but we'd certainly expect that to normalize. The balance of -- where we have the confidence is really the types of things that Eric was talking about. But the biggest thing that I think has been a detriment that we expect to swing the other way in the second half is in the rough-terrain category, in particular, in North America.
Eric P. Etchart: We expect it to continue -- keep going, Seth.
Seth Weber - RBC Capital Markets, LLC, Research Division: Well, but didn't you take a headcount reduction at Grove on the RT production? So are you -- I assume that you were anticipating that RT production would be lower this year.
Glen E. Tellock: That -- we took that very early in the year. And that was basically to cut the build schedule from where we were at. There's always -- there's the difference between what we think the market needs and then you see the actual going forward. I think that was an early sign that some of our initial forecasts that we had back in November, December were not going to come to fruition. So I think you're making those changes in December and January even before we had the call with you, Seth. So yes, we made those changes, but that was before we talked about anything. And then the fact that -- we'll stick with the RTs, you have -- what we had in the fourth -- third and fourth quarter of last year, which were good RT deliveries, you add that with the dealer inventory to what Carl just mentioned with the weather. Projects were delayed. You didn't see that stuff go out in the first quarter and the replenishing of the inventories to the North American dealer fleet. As I mentioned in my remarks, that tops out in February and has gone down considerably since that time. Conversations with our dealers, they know maybe that it's not to the same levels they had last year in this year in February, but as I say, you can't sell out of an empty cupboard. So that's why you have the distributors, and I think when you look at some of the -- or talk about some of the distributors and where they think things are going, it's a pretty good story. And we spend a lot of time with them. So I recognize the fact that there do have to be some orders that are taken and shipped within the quarter. But that's pretty normal for us and that's where the risk is. But again, I would say the unfortunate disconnect, and I think you would hear this out of any of our competitors, is when you talk to the end users, there's a lot of business out there and people are having great years, whether it's the crane rental companies or the dealers. There's a big disconnect to what the order pattern is, though, and it's because of that uncertainty people have of what's going forward. For instance, the highway bill. Okay, so they approved [indiscernible] year. That doesn't give anybody any confidence that there's a 5-year bill and they'll spend money for bridges on the small crawlers or even the bigger RTs. So it's that kind of thing that people are doing it when they have the cash, when they have the project. And so you got to go a little bit on some of the -- what we've talked with on the dealer and the customer base.
Eric P. Etchart: And just on the rough-terrain, if you look at the utilization of the rental houses of our dealers in their rental fleet, this is fairly high, I mean, in the high-70s and sometimes over 80%. And they have seen a little bit of traction also on the rental rates. So these are signs that gives us confidence that, again, we should see more activity coming from that product line. So now on top of the -- of that, we have a very strong activity in the small crawlers, and normally, you don't have this disconnect between the strong activity on the crawlers and then especially the small and medium size and then the rough-terrains.
Seth Weber - RBC Capital Markets, LLC, Research Division: So if we were looking at the second half of the year where you're projecting some growth, on a relative basis, should we assume that the RTs will outgrow the other categories? Or you think crawlers and towers have greater growth relative to the RTs in the second half year-over-year?
Eric P. Etchart: I think the RT should catch up, but I do not see any slowdown in the orders activity for the crawlers.
Seth Weber - RBC Capital Markets, LLC, Research Division: But from a revenue perspective, do you think that the revenue would be tilted one way or the other?
Glen E. Tellock: Versus this quarter?
Seth Weber - RBC Capital Markets, LLC, Research Division: Versus the last -- second half last year.
Glen E. Tellock: Versus second half last year.
Seth Weber - RBC Capital Markets, LLC, Research Division: I'm just trying to understand which category you think will be growing on the revenue line year-over-year.
Eric P. Etchart: Our year-over-year in the second half?
Glen E. Tellock: In the second half.
Seth Weber - RBC Capital Markets, LLC, Research Division: Right. So your guidance sort of implies year-over-year growth in the second half, and I'm just trying to understand which product category that might be coming from.
Eric P. Etchart: Small crawlers, I mean, the small crawlers in North America and rough-terrains, but overall, definitely towers.
Seth Weber - RBC Capital Markets, LLC, Research Division: Okay. If I could just slide in one other clarification. The VPC is now shipping, you think, 2Q '15? Is that the target?
Glen E. Tellock: Well, I -- that's what I said, and I think we're trying to -- when Eric said in the first quarter, and again, we've discussed this internally, Eric said late first quarter. And I still believe there are pieces of the VPC that are going to go in the first quarter. But I think there's some of the larger 650s that will be early second quarter, and so it's not a big change. It doesn't mean it's later in the second quarter. But I think what we're trying to do internally is not fire up that expectation that everything comes out in the first quarter and blend it between the -- if we get the benefit in the first quarter, second quarter -- it's early second quarter, so it's not that big of a deal. But I think some of the expectations to customers, we want to make sure we temper that because there's still a lot of testing to go on. Even though we like what's happening, you get into the fall and the winter months. But we're still good.
Operator: And we will take our next question from Steve Volkmann with Jefferies.
Stephen E. Volkmann - Jefferies LLC, Research Division: Just a quick follow-up on Cranes, as well. I think it was Glen, maybe you were mentioning that the yen was a bit of a headwind for you. And I'm wondering sort of on the other side of the ledger, some of your yen-based competitors that we spoke with at ConExpo sort of said that they were willing to use some of the yen benefits they had to try to gain some share. And I'm wondering if that might be part of the situation on the share side. And maybe directly, what are you seeing in pricing?
Glen E. Tellock: Yes, there's -- you're touching on a big part of it, Steve, to the point where, yes, using it to their advantage. And I would say, when we talk about the market shares, and Eric touched on this a bit, to look at market shares for a quarter, that's -- it's kind of retail activity. So with us, you look over 12 months and our market shares are still very solid. But if you look at it quarter-over-quarter, ours were very good in the third and fourth quarter last year. And that's where we say, yes, we have lost some share this first half of the year just because ours were in the dealer inventory. So -- but it is to some of the Japanese competitors who are using that exchange rate to their advantage, and there's nothing else you can say. Yes, it is in pricing.
Eric P. Etchart: But I think this is more acute in the Middle East where definitely they are extremely aggressive in using the yen, obviously, to discount their pricing. Again, the market share loss in North America could a little bit be due to the Japanese, but overall, I think the dealer inventory is really part of -- the greatest part of the Middle East.
Stephen E. Volkmann - Jefferies LLC, Research Division: Okay. Great. That's helpful color. And then, Glen, just a quick follow-up, as well. Have you had any conversations with your newest large shareholder? Or is there anything kind of going on there that we should be aware of?
Glen E. Tellock: Well, I think, as you saw in our news release after their filing, we did say that we've had conversations with them. And it's consistent with our policy of what we always do. I mean, they're a shareholder. We talk to them, we talk to other people. We just don't necessarily disclose what we talked about or when we talk to them. So that's about all I can say on that. But we will have conversations with them. We did in the past. We will with other shareholders. And so we keep an open dialogue with them.
Stephen E. Volkmann - Jefferies LLC, Research Division: Okay. Great. And can you just remind us of, from your perspective, kind of the industrial logic or financial or whatever management kind of synergies you sort of feel like speak to the current business model in terms of the 2 different businesses?
Glen E. Tellock: Well, look, it's not like this is new to us and are surprised by people asking about the business is better together or apart. I mean, we get these questions on a regular basis in one-on-one conversations with shareholders or prospective shareholders. I think when you look at it, there's 3 areas that make a lot of sense to us. And one of them is the 2 businesses are complementary and the fact that you can see the cycles and you can see the -- how well we can do as an enterprise back and forth between them and gives us the opportunity to invest throughout a cycle, whether it's in Cranes or Foodservice. And a perfect example of that is, whether it's the facility in Monterrey, the facility in Brazil or the new product introductions we have from an enterprise standpoint, a much stronger pipeline of activity. And the other area, there are synergies such as our sourcing initiatives. As a group, when you look at the synergies we get from logistics, from the indirects, there's areas of purchasing with respect to different commodities that we buy. And you get the benefits of those. And lastly, you get the benefits of some of the corporate-wide processes, the enterprise-wide processes of safety, of EVA, of the ability to move people from one side of the business to the other. It's a reduction in those HR -- the HR costs of trying to recruit talent. We have a very good pipeline of people. It's those types of processes. So at the end of the day, you put all that together and you ask yourself -- I see what other people say of the sum of the parts. I mean, we have our internal calculations as to what the sum of the parts are. And it's just like the analyst projections out there, they get to a consensus. Somebody has to buy, somebody has to sell, somebody has a whole. It's all based on the assumptions that you use, and we try to look at what someone's assumptions are versus ours and try to ask why does it or doesn't it make sense. And as we sit here today, in perfect honesty, our board and management are still committed to the fact that this is better together than it is in a different combination.
Operator: And we'll take our next question from Schon Williams with BB&T.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Maybe I'll switch gears a little bit and give Bob a chance to talk. I wonder if you could just comment on the progression of the growth rates and food equipment over the last couple of quarters. I mean, a bit of a deceleration from kind of the high single-digits that you did in Q4 and Q1 in terms of the growth. Seasonally, I would have actually expected a little bit more of a pickup in Q2 volumes versus Q1. Can you just talk about, I don't know, was there anything -- were the rollouts helping Q4 and Q1 and now that's fading a little bit? I just want to get a sense of kind of what the overall demand environment feels like.
Robert M. Hund: The rollouts, like I said before, the rollouts continue. I don't want to say they extraordinarily helped us in Q4 and Q1. If you look at the restaurant -- there's a restaurant performance index that's out there, and it's actually trending a little bit up right now, which is positive for us. The FER, Foodservice Equipment Reports, is projecting about a 4.1% industry growth. At the moment, we're, like Carl said earlier, around 4.5%. So I feel good about that. In terms of where we see -- the weaknesses in the beginning of the year, a lot of it had to do with weather that occurred. We did see a little bit weaker-than-planned April and May, but we did get more orders coming in. I mentioned in my remarks, especially on the hot side, coming in, in the last couple of weeks of June. It wasn't enough we couldn't produce it before the end of the quarter. But our order intake near the end of June was at a fairly substantial level, and we actually finished the second quarter with a backlog, which is usually a little bit rare for us to do that, and I can't explain 100% why, but we have that. And there were some -- a few of the larger chains had less order projections. We tend to put more orders in, in the earlier spring, and some of those came later. Nothing more unusual that I can really remark on than that.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. And then could you comment specifically on what you're seeing in Asia? I guess, I'm a bit concerned about at least Yum! has made some announcements around kind of significant deterioration in their same-store sales in Asia related to kind of a new food supply scare. Is that something that is affecting you at this point or that you anticipate kind of affecting you in the back half of the year?
Robert M. Hund: Yes. The food -- you can read in the press about what's happening with this one company who produce food for McDonald's and Yum! It has affected some orders we've come through, and some things have been delayed. But on the same token, there are other chains in Asia that are starting up. Now in the top 3 chains is a non-U.S. chain in Asia, which is a good customer of ours. They're expected to grow, to expand their numbers up in the 20,000 range in the next 20 years. So we're getting closer to some of those more local chains. And one of the, I guess, strategies around that, to be able to do that, is to produce more in Asia. We have our factories in Foshan on the hot side and Hanshou on the cold side, which are well-suited and we can produce more. But the more products we can put into Asia to serve the local Asian markets, the more opportunities we're going to get with those newer local chains. So we can satisfy our traditional customers there and some of the newer ones as well.
Operator: And we'll take our next question from Nicole DeBlase with Morgan Stanley.
Nicole DeBlase - Morgan Stanley, Research Division: So I mean, maybe going back to Foodservice a little bit. I mean, I think that you've talked before about being able to get to kind of high-teens margins over time and then maybe upside from there even further into the future. So I'm just curious if the margin result today gives you any hesitance about that longer-term goal?
Carl J. Laurino: No. It doesn't, Nicole. This is Carl. The issue really that we're experiencing is I think not necessarily believing that we're going to turn around some of the mix headwind that we talked about. And when you look at the opportunity that we believe that we had relative to the consolidation activity, it was definitely compromised with what you saw from us in the second quarter. And unfortunately, we think that, that is going to linger. And this quarter -- second quarter and third quarter were really the 2 that we expected to make some hay in that front, to get closer to the high-teen level. So that's where we came out with essentially revising the margin guidance for Foodservice. Bob, did you...
Robert M. Hund: Yes, I'll just maybe, Nicole, add to that, too, to what Carl is saying. Glen had mentioned earlier, and I mentioned in my remarks about, it's the -- the progress we're making in Cleveland was slower than expected on the ovens, okay? And we've made some management changes. Things are coming back. Glen had mentioned 90 days. So that -- I think we're getting that back on track. But at the same time, we are continuing our cost-reduction and consolidation efforts. Right at the moment, we're doing 2 -- our 2 factories in Shreveport are consolidating down to one. We closed our warehouse in Salem and merged it into Sellersburg. We're ramping up our ice. We're putting more products with our global refrigeration line to Monterrey to get its utilization up and going. So I think that even though it slowed down a little bit, it is -- we all have all the other initiatives that are in line to continue on that margin growth curve.
Nicole DeBlase - Morgan Stanley, Research Division: Okay. Got it. That's really helpful. And then maybe we could just tick the box on the Crane side on the used crane market, what you guys are seeing there with respect to volumes and pricing, anything to be concerned about.
Glen E. Tellock: When you said the huge crane, you mean the larger crawlers?
Nicole DeBlase - Morgan Stanley, Research Division: No, the -- no, no, no, not huge, the used crane market.
Glen E. Tellock: Used crane. I thought you said huge. Sorry. I would say when you look at, and I think Eric would confirm, when you look at the used crane market, it's relatively stable, and I think it's okay. I mean, there's not a lot of people running to it. I think the prices are holding steady. I think it's obviously a good outlet for people right now if they want to trade out and buy new. Eric, do you...
Eric P. Etchart: No, nothing to add. It's correct.
Operator: And we'll take next question from Jerry Revich with Goldman Sachs.
Jerry David Revich - Goldman Sachs Group Inc., Research Division: Can you gentlemen talk about the additional planned consolidation opportunities in Foodservices heading into next year without obviously talking about specific plans? But is there more room to go? And also, Bob, perhaps you could touch on, on the new product side, cadence. How do those portfolios stack up in '15 compared to what you're delivering this year?
Glen E. Tellock: Jerry, that's -- Bob somewhat alluded to a couple of the things that we're looking at already on the consolidation side. We talked about the distribution warehouse in Salem, the Shreveport going from 2 facilities down to 1. You have an expansion of more product into the Monterrey facility. So I mean, I think it's -- again, it's some other things that are going into the China facility for the Asia market. There's some opportunities within Asia itself that we're pursuing to build more product there, again, for the Asia market, not to move around the world, but more for India and Asia -- I'm sorry, India and China. So those things continue to work out as we see fit. And I think the more you do, and with Bob's new organization, and along with Eric's, the more the manufacturer, the heads of manufacturing continue to do these things and find the LEAN initiatives, the sourcing initiatives and everything going together, every time you do it, you find more and more opportunities. So stay tuned, and I'm sure there'll be more to come. But again, it goes to the comment on Foodservice on how we get to the high-teen margins. Now Bob, I'll let you explain some of the new products...
Robert M. Hund: Yes, and maybe I can also just add to Glen's comment, too. With the expansion into Asia, we do have opportunities, Foshan, Hanshou. We also have a small JV in Thailand that we can utilize. And when the reduction of import duties, particularly into India, are happening, we can leverage some of those facilities that we have today and bring some products in it. We do have new product introductions coming near the end of the year, the beginning of next year: refrigeration; there's one in frying; we have one surface cooking that we have; and some variants in the beverage category, particularly in the blended ice to make it more attractive to different segments. So we do have a pretty strong pipeline of NPIs that are happening in the second half of this year and the beginning of next year, too, as we always do. We're not stagnant. The biggest one, as I mentioned earlier, is the Convotherm 4, which will be out in September. That's our big launch for the year for that particular product.
Jerry David Revich - Goldman Sachs Group Inc., Research Division: And Bob, just to clarify your sense on new product contribution opportunities in '15 versus '14, are we talking about a similar level of contribution? And I appreciate it might be a bit early to tell, but I would love your initial impressions there.
Robert M. Hund: Yes, well, we do measure the incremental new product contribution over current, and we're exceeding that right now through the midyear, and our plan is to grow that. We will have a greater contribution of new products through the rest of this year and the beginning of next year.
Jerry David Revich - Goldman Sachs Group Inc., Research Division: Okay. And then on the Crane side, can you gentlemen just talk about what you're seeing in the European market and also in North America crawler crane and tower crane markets, just update us on how far those markets are off of the '07 highs at this point. And for some of the longer-lead-time items, are you seeing any increase in inquiries at all outside of the new product launch you had at ConExpo?
Eric P. Etchart: Yes, in Europe, obviously, the Western Europe is bumping along the bottom, I would say, kind of struggling, France, Italy, Spain or Portugal. We see a much increased activity in the U.K. and Northern Europe, Denmark, Norway, Switzerland, Germany. So that's really contrasting [ph], but that's what we see in Europe. So it's obviously, since we see how things are turning around in Western Europe, it will be a contrasting picture. As far as the crawlers questions, as I said earlier, we continue to see very strong demand for the small crawlers and we continue, of course, to be seeing good demands for the larger crawlers that we anticipate, of course, will have a bigger impact next year when we start shipping the VPC technology. But I want to say that since ConExpo, where we picked up many, many orders, we have seen the orders -- we confirmed that by the major [indiscernible] coming to the plant [ph]. But the positive sign also has been that the orders from our distributors has now been retailed for most of them. So that's a very encouraging sign that we have seen in the latter part of the quarter.
Glen E. Tellock: And Jerry, to your comment to the supply side, I don't think there's any change that -- in any of that we've seen in an extension of lead times or anything like that.
Jerry David Revich - Goldman Sachs Group Inc., Research Division: Okay. And I apologize, just a clarification on what you're seeing in Europe, Eric. So the activity you're seeing, U.K., Switzerland, Germany is that enough to have year-over-year growth out of Europe as a whole? Or is it still flattish?
Eric P. Etchart: It will be a small growth overall.
Operator: And ladies and gentlemen, that does conclude today's question-and-answer session. I would like to turn the conference over to Mr. Khail for any closing or additional remarks.
Steven C. Khail: Before we conclude today's call, I'd like to remind everyone that a replay of our second quarter conference call will be available later this morning. You can access the replay by visiting the Investor Relations section of our corporate website at www.manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in The Manitowoc Company. We look forward to speaking with you again during our third quarter conference call in October. Have a good day.
Operator: And ladies and gentlemen, that does conclude today's conference. We do thank you for your participation. You may now disconnect. Have a great rest of your day.